Operator: Good day, and thank you for standing by. Welcome to the Third Quarter 2025 Louisiana-Pacific Corporation Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Aaron Howald. Please go ahead.
Aaron Howald: Thank you, operator, and good morning, everyone. Thank you for joining us to discuss LP's results for the third quarter of 2025 as well as our updated outlook for the full year. On the call this morning are Brad Southern, Alan Haughie and Jason Ringblom, who are LP's Chief Executive Officer, Chief Financial Officer and President, respectively. As always, after prepared remarks, we will take a round of questions. During this morning's call, we will refer to a presentation that has been posted to LP's IR web page, which is investor.lpcorp.com. Our 8-K filing, earnings press release and other materials are also available there. Finally, I will caution you that today's discussion contains forward-looking statements and non-GAAP financial metrics as described on Slides 2 and 3 of LP's earnings presentation. The appendix of the presentation also contains reconciliations that are further supplemented by this morning's 8-K filing. Rather than reading those materials, I will incorporate them herein by reference. And with that, I will turn the call over to Brad.
William Southern: Thanks, Aaron. Good morning, everyone. Thank you for joining us. As usual, I'll discuss some highlights from the quarter before Alan shares more detail about our results and updated guidance. After that, Jason, Alan and I will be happy to take your questions. As expected, Siding volume in the third quarter was flat. This result in a softening market, especially compared to the difficult comp from last year reinforces our confidence in our ongoing share gains. 5% growth in Siding sales revenue, driven primarily by price and a strong mix, exceeded our expectations and guidance. While we anticipated the normalization of demand in the shared component of our Siding business, our ExpertFinish, prefinished siding product primarily designed for R&R applications saw sales volumes increased by 17% year-over-year. The April launch of our ExpertFinish naturals collection, which is a new line of nature inspired 2-tone colors has contributed materially to a beneficial price mix effect. ExpertFinish accounted for 10% of overall Siding volume and 17% of overall Siding revenue in the quarter showing once again the power of SmartSide innovation to drive price, volume growth and share gains. Inventory levels and sell-through rates held steady through the quarter, consistent with servicing seasonally normal demand levels. The only exception is ExpertFinish, which remains in such high demand that we have implemented a managed order file until new capacity comes online early next year. Total sales in the quarter were down 8% compared to prior year and EBITDA of $82 million was also down significantly. The extended trough in OSB prices was the main drag on both metrics. While we obviously cannot control OSB prices, we can manage the OSB business effectively, and our teams did that exceptionally well in the face of what remains a difficult market. The OSB business achieved 80% overall equipment effectiveness or OEE in the quarter, up 2 points from last year. Increasing OEE is never easy, and it can be particularly challenging when we are also managing our capacity with discipline to balance supply and demand. I want to congratulate and thank everyone on the OSB operations team who contributed to this impressive achievement. Our results are only possible because of our teams and the strong culture we have built. In the third quarter, LP was named one of the 50 Best Manufacturers in the United States by IndustryWeek, debuting on the list at #24, and one of very few specialty building products manufacturers to be recognized. We were also named by Newsweek as one of America's Most Admired Workplaces. Finally, as you saw, I informed LP's Board of Directors of my intention to retire this coming February after more than 25 years of service. It has been the honor of my career to lead LP's 4,300-person team. Ultimately, the job of a CEO is to build an engaged culture focused on safety, growth, innovation and execution to deliver value long after her or she has gone. When we launched LP's transformation strategy, I was daunted by the challenges we faced and the aggressive goals we've set for value creation. I am proud to say that we exceeded those goals. As LP's team and strategy have evolved, the magnitude of the opportunity before us has only grown and our confidence that we can continue to execute our strategy and achieve our ambitious goals has never been stronger. Jason Ringblom and I have been friends and colleagues for over 20 years. He was instrumental in the development and execution of LP's strategic transformation. He led LP's OSB and EWP businesses for 5 years and for the last 3 led LP Siding business before being named President. This perspective makes him uniquely suited to serve as LP's next CEO. I have total confidence that with Jason, LP's future has never been brighter. And with that, I will turn the call over to Alan.
Alan J. Haughie: Thanks, Brad. Before discussing the results, I do want to take a moment to say that working for Brad has been a personal and professional highlight for me. And while they may be tough shoes to fill, I can think of no one better suited for this task than Jason. And with that, Slide 7 of the presentation shows Sidings results for the quarter. As expected, the bulk of growth came from price. Average selling prices were up 5% with prime products of 3% and ExpertFinish prices up 12%. And there were 2 mix phenomena helping this along. First, as Brad mentioned, shed segment volumes normalized after a very strong first half. And as I'm sure you'll recall, strong shed volumes have been a drag on prices earlier in the year. So part of the 5% year-over-year price performance this quarter is simply the lower mix of shed relative to prime and ExpertFinish products. The other mix factor was within ExpertFinish itself, where demand for LP's 2-tone naturals and other higher-priced prefinished products drove outsized year-over-year price gains. This mix shift is also evident in the year-over-year volume column which shows relatively flat volumes in total, but within which prime volumes were down 1% and ExpertFinish volumes were up 17%. Selling and marketing investments, raw material inflation and other factors were fairly typical but there are some moving pieces in the other column that they're mentioning. You may recall that the third quarter of last year saw an unusually high EBITDA margin, in part because of delays in maintenance projects and the resulting inventory build. Impacts, which then reversed in the following quarter. So much of what you see in the $20 million of other costs in this waterfall is the nonrecurrence of those events from last year. Among them, inventory absorption is actually a double hit, i.e., we built inventory in the third quarter of last year, which boosted EBITDA, whereas this year, we've reduced inventory, which temporarily hurts EBITDA. But in the long run, it's all just timing, viewing the second half of the year in total simplifies the year-over-year comparisons considerably. The $2 million tariff impact is the retaliatory tariffs LP had been paying to import ExpertFinish into Canada. Those tariffs were ascended in late August, so we are not currently incurring that expense. Also, as I'm sure you're aware, the Section 232 tariff announcements did not impact LP's OSB or siding manufactured in Canada and imported into the U.S. So other than minor tariff impacts on some of our raw materials, LP is currently bearing minimal tariff costs. The OSB chart on Slide 8 tells a simplest bleak story of soft OSB prices in a challenging demand environment. OSB prices spent most of the quarter barely above variable cost driven by sluggish demand, particularly in the Southeast. Price realization fared somewhat better than expected due to a combination of the lag in contractual prices and structural solutions mix. And while the small nonprice variance is masked rather well, the OSB operations team played the hand they were dealt exceptionally well. Overall efficiency hit 80%, up 2 points from last year, and aggressive cost control helped the OSB segment outperform our algorithmic guidance. Now superficially, this waterfall suggests that price is the only thing that matters in OSB. Perhaps a more accurate reading is that it prices this low, everything matters. So I tip my hat to the OSB team for making the best of a very difficult market. Slide 9 shows cash flow for the quarter of which, while straightforward, very much continues to reinforce the value of LP's transformation. $82 million of EBITDA translated to $89 million of operating cash flow after minor puts and takes for working capital, taxes and interest. We invested $84 million in CapEx to support growth of ExpertFinish and Structural Solutions as well as to ensure that our plants continue to operate safely and efficiency. And after $19 million in dividends, we ended the quarter with $316 million in cash and over $1 billion of liquidity, including our undrawn credit facility. Which brings us to guidance on Slide 10. Regrettably, OSB prices have scarcely moved since the last call, so our fourth quarter OSB guidance has only slightly improved. The beneficial lag factors that helped the third quarter have dissipated given how long prices have remained in the doldrums. So all else equal, price realization in the fourth quarter will likely provide less of a tailwind than it did in the third. The resulting $45 million of EBITDA loss in the fourth quarter and breakeven for the year are, as always, algorithmic projections of current prices and utilization. For Siding, we reaffirm our full year EBITDA guidance of $430 million. However, for the fourth quarter, the market has continued to weaken, so we anticipate slightly softer growth. We still expect a year-over-year revenue increase in the coming quarter, but of about 3% and this mostly from price. And much like the third quarter, we expect an outsized contribution from ExpertFinish to both volume and price. We are, therefore, guiding to fourth quarter revenue of about $370 million and to EBITDA of about $82 million. Now this slightly reduces our full year revenue growth rate from 9% to 8% for revenue of roughly $1.68 billion, while increasing our full year EBITDA margin guide to about 26%. Now our South American business is also struggling with a sluggish economy and its results are not fully offsetting our corporate overhead at the moment. Therefore, total company EBITDA for the fourth quarter and full year are both expected to be about $5 million lower than the sum of the Siding in OSB. Nonetheless, our expectation for full year total company EBITDA has actually risen by $20 million from $405 million 3 months ago, to $425 million today. But we're also cutting our CapEx guidance, and there are 2 factors in play here. First, given the current emphasis on capacity management and cost discipline in OSB, we are deferring even more projects in OSB. In Siding, we're balancing steadily improving OEE and initiatives to optimize LP's entire manufacturing portfolio against the backdrop of persistent market softness. As a result, the sense of urgency that motivated Houlton's expansion as the fastest route to additional capacity is now somewhat diminished. And this makes our OSB mill in Maniwaki, Quebec a viable candidate for conversion to Siding an option we are now exploring. So should we ultimately proceed down that path, it would most likely still provide additional Siding capacity in advance of market demand and would likely do so at a larger scale and with greater capital efficiency. So while we weigh these options, we have paused any further mill-specific spending while continuing the longer lead time mill-agnostic investments. And with that, we'll be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of George Staphos with Bank of America Securities.
George Staphos: I appreciate all the details everyone. And I know everyone will say it, congratulations, Brad and Jason on the news, and we wish you continued progress and success in the next chapters. I guess the first question I had, Alan, if you could just give us a bit more detail in terms of the potential shift from Houlton to Maniwaki, what's behind it? How will we ultimately see it, one, manifest itself versus the other in terms of operations and performance? And the second question I had maybe more for Jason and Brad, there have obviously been some headlines in the last couple of days about -- in the last couple of weeks about marketing battles, some of your peers extending relationships with some of the building products distributors to push product. That maybe is a more competitive backdrop. Would you agree with that? Does that change the way you market? Or does that actually help you because your peers might have some other things that they're focused on relative to the Siding business?
Alan J. Haughie: George, thanks for the questions. Before I will address your 2 questions. But before we get to that, I just realized that I did misspeak slightly in my prepared remarks a moment ago when I was describing the impact of LPSA on the full year EBITDA guide. In the fourth quarter, the difference between LPSA and corporate unallocated expenses is indeed $5 million. For the full year, as you'll note from the published materials that went out this morning, the difference isn't $5 million, but it's $10 million. So just to be clear, the full year EBITDA is expected to be $420 million about $10 million lower than the sum of Siding and OSBs breakeven, but still an increase on the previous guidance. So I've got a fog in my thought, hold on. And now I'm going to turn over the question on Maniwaki to my friend and colleague, Jason.
Jason Ringblom: Yes. Thanks for the question, George. I'll touch a little bit on mill conversion options. I guess when you think about it holistically, the beauty of our position here at LP is that we have multiple options. I'll go through those just quickly. We've mentioned them on previous calls, but we have the opportunity to expand existing Siding plants. So imagine a line parallel to an existing line at a current Siding plant also had the opportunity to convert additional OSB facilities and Aspen wood baskets. So Maniwaki, as Alan mentioned, is an option along with Peace Valley and then also the potential for a greenfield that would leverage sites that we own today in Wawa, Ontario or Cook, Minnesota. With that said, what I would say is the decision on the next mill will really come down to timing and capital efficiency, really coupled with the network optimization benefits that any given option has the potential to add. So we're still assessing all of those options that I mentioned. But as Alan stated, Maniwaki has surfaced to the top here more recently, just given the OSB market. And then the second part of your question just around the competitive dynamics. What I would say is, generally, we have not seen a whole lot of disruption within the channel. I mean, this is the time of year where new programs are being put in place. We're navigating RFPs with different customers. But right now, we're just -- we're focused on our strategy and really trying to minimize the noise and continue to focus on gaining share.
George Staphos: Jason, just a quick one, and I'll turn it over. Aside from the fiber basket for Maniwaki, what else makes it potentially rise to the surface more quickly?
Jason Ringblom: Yes. So Maniwaki is a large OSB facility. So it's got the ability to produce 600 million to 650 million feet of OSB, which translates to, call it, $400 million-ish of Siding. So just the scale and relative cost position of that facility, coupled with just the network optimization opportunities that it presents will all be factored into the analysis.
Operator: The next call comes from the line of Susan Maklari with Goldman Sachs.
Susan Maklari: And let me have my congrats to both Brad and Jason as well, looking forward to working with you. My first question is talking about the pricing environment in Siding. You've traditionally announced an increase late in -- or sometime in the fourth quarter for effective in early the following year. Just given the world that we're in and the varying dynamics around housing and the consumer, how are you thinking about pricing as we look to 2026?
Jason Ringblom: Thanks for your question, Susan. I'll take that one. So as of -- I guess, within the last 7 to 10 days, we did announce a price increase, very consistent with what you've seen us do in prior years. Along with that, we are managing our order intake to really minimize any sort of inventory build in the channel in advance of our price increase. So really, those orders that are placed throughout December and in our January order file will come at the new price list. So nothing unusual here. What I would say is increases vary by product category and geography, but we are really targeting the net somewhere between 3% and 4% in '26.
Susan Maklari: Okay. And then turning to OSB. When you think about the environment that the builders are facing and the commentary we're hearing, especially from the big publics around pulling back on start to end this year and then even into early 2026. How are you thinking about balancing that capacity? The near-term pressures that are there relative to the longer-term outlook for housing and just adjusting the cost structure on a relative basis given those factors?
Jason Ringblom: Yes. So demand for OSB has certainly been soft for the better part of the year. And as a result, our focus has really been on matching capacity to demand. No different than what we've done in prior years where we've experienced soft markets. What I would say today is our utilization rate for OSB is in the high 60s, which is essentially -- which essentially matches our committed volumes for the business. So what we felt is if we sell open market wood or bring cash wood to the market. Largely, it ends up in lower prices. So right now, we're focused on really managing costs and optimizing our network relative to the demand we see today.
Operator: The next question comes from the line of Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Brad, I wanted to extend my congratulations as well. I mean it's been a remarkable transformation. This is a much different company today than what it used to be even 10 or 15 years back. So congratulations.
William Southern: Thank you, Ketan.
Ketan Mamtora: And Jason looks forward to working with you. Maybe to start with, can you talk a little bit about you mentioned shed volumes are normalizing in Q3. Can you talk about sort of what you saw there in Q3? And what's contemplated by way of volume as you think about Q4?
Jason Ringblom: So I would say, Ketan, and I'll take that one. I mean, throughout Q3, our order intake and sell-through rates were pretty consistent. In fact, I would say they held up better than maybe we anticipated given the broader softening in the housing and repair/remodel markets. And I think that's a testament really to our commercial team and our focus on innovating around the needs of our end user customers, specifically ExpertFinish, smooth Siding, naturals, as Brad mentioned, being great product additions that have helped offset the weakness in some of the market segments we play in. Specific to shed, what I would say is, yes, business has normalized in that segment, but we were up year-over-year. So we're very pleased with the progress we continue to make in that particular segment. And we see that continuing going into Q4 as well. Really where the softness resides is more in the new construction segment, particularly in the southern markets. And we see a little bit more resilience in repair remodel especially in the northern markets where we have a more dominant share position.
William Southern: Jason, I'll just add to that. Sorry, Ketan. I'll just add, that historically, we've kind of seen a bit of seasonality in the shed business where our distributor partners and the shed builders tend to build some inventory in anticipation of spring and summer sales. And that kind of backing off as we get through the summer. And I think what we saw seasonally in shed is pretty consistent with the historic trends that have driven our order file in the past.
Ketan Mamtora: Got it. That's helpful. And then just one more question. It seems like you are also sort of -- in the way you are selling sort of your Siding products and your OSB product, it seems like there is some transition happening where you're trying to align both these products and sell it kind of more as a bundle. Can you talk to sort of what is driving that move? And what kind of reception you're getting with your customers?
Jason Ringblom: Yes. I'll take that one, Ketan, and I appreciate the question. So back in April, we announced the integration of our OSB and Siding businesses. And really, the main reason for that was to better leverage our resources and better leverage the breadth of our product portfolio in the marketplace. So you're right, we are working on some bundling of programs to help us execute our segment strategies in all areas that we play in. But I would say we're still very much in the infancy stage of that process. We've made some good progress in the big builder segment, but it's still an area we're exploring largely.
Operator: The next question comes from the line of Sean Steuart with TD Cowen.
Sean Steuart: I'll extend my congratulations to both Brad and Jason as well. I want to follow up on the Maniwaki pivot. Can you give us a sense of the time line to at least start this project and when you think it might be producing Siding product? And attached to that question, does the Section 232 determination, which exempts OSB and Siding from Canada. Does that factor into the decision at all? And I guess, broader perspective, the determination on Section 232 sort of left it open-ended, that the administration can consider changes to the assessment as time unfolds. I guess the short question is, are you comfortable that this will be an extended -- a permanent exemption for OSB in Siding from Canada. I'll leave it there.
Aaron Howald: Yes, Sean, this is Aaron. I'll take the 232 component of that question. I don't think anybody is comfortable that policies are current in the current administration. But I will say that the decision to shift to Maniwaki should we make it, will be a long-term decision based on our long-term expectations about the evolving OSB and Siding markets. The current situation for the 232 tariffs is that neither of those products is subject to a tariff importing it from Canada into the United States. And perhaps a less understood component of the 232 discussion is that the importation of some heavy equipment categories into the United States is less favorable than it is into Canada currently. So for example, if we were to acquire a press or other large equipment for a conversion of an OSB plant in Canada, we would be able to import that equipment at a lower cost into Canada than into the U.S. because of those tariffs.
Alan J. Haughie: I would like to stress, though, that, that would be a potential benefit, but it's not a reason...
Aaron Howald: Exactly. Yes. The 232 issue is not the decision maker. It is noise that currently is a net benefit. But the long-term reasons for Maniwaki should we make that decision would be the fundamental market dynamics and the efficiencies that, that mill would bring.
William Southern: Sean, the process is, as you can tell, as we've gone, we try to be transparent on these calls and talk about the different options. And some rise to the top and in some fade from the top. And so it is certainly dynamic. But the valuation that we do is financially driven, long-term financial driven, as Aaron said, and there are components specifically to tariffs or -- but when you look at wood cost, you look at particularly network optimization, Maniwaki is in a really interesting place for us when you align it with our existing infrastructure, including what we're doing around ExpertFinish growth. And so -- but as we continue to do the evaluation over the next several quarters, we'll continue to evaluate all options in the face of a good strong financial analysis. And then when we get ready to present to our Board, that's when the rubber hits the road around crystallizing around 1 facility and being able to explain from a return standpoint while that was chosen. So more to come on that, but we did think it was worth mentioning Maniwaki as a prime candidate or might perhaps the prime candidate right now, given that we haven't talked about that much in the past.
Sean Steuart: Understood. And then maybe just one follow-up there, Brad. Part of this reordering of the options is the extent to which OSB markets unraveled here the last several months. I mean you've positioned this as it's a long-term decision based on optimization of the fiber basket, the portfolio you have. Is there any read-through on you view this OSB downturn as potentially extended beyond what we would normally see? And you're considering Maniwaki in that context as well. This could be a longer trough than we're accustomed to seeing for OSB?
William Southern: No, we were not intending to signal that at all. Certainly, the near-term outlook for OSB is pretty abysmal, but we believe in the business in the long term. Really what put this one up was, as Jason mentioned or I mentioned in the prepared remarks, the timing -- we were leaning on Houlton because we felt that we could get there faster with a conversion. And so when really it's the overall softening in the housing outlook overall gave us, say, another year of capacity in our existing network, which allowed us to take a step back and say, if we're not in much of a hurry as we thought we were in 6 months ago, what are other options. And that's really when we started focusing in on Mani. It's not OSB-related that drove...
Operator: I believe your mic just went out for a minute. [Technical Difficulty] And Sean, you're still there?
Sean Steuart: I am. I'm all good guys, you can go onto the next.
William Southern: Did you hear? I mean it was such a great -- it's probably the best answer in my CEO career and I got cut off in the middle.
Sean Steuart: You're leaving on a high note. I think I got the gist of it.
Operator: The next question comes from the line of Mark Weintraub with Seaport Research Partners.
Mark Weintraub: I don't know, Brad, I don't know if I should ask any more questions after that. That high note. But congrats to all, of course. So maybe just a little bit more on the thinking on the Maniwaki Houlton. So I mean your volumes this year aren't that different from what you were expecting. So I mean, it seems to suggest that you're taking a little bit more of a cautious perspective on next year. And obviously, it's pretty early. Maybe help us think that through a little bit. And when you say several quarters, does that mean you're kind of thinking it's like -- you don't need it for close to a year later than what you would have initially anticipated wanting the volume up?
William Southern: Mark, it's really the key driver is we were forecasting internally, improving housing starts at a pace higher than the current forecast is. And so when we were looking at, I don't know the industry adding 75,000 to 100,000 new starts each year, year over year over year. That was got us on a path of sooner rather than later on this conversion. But as we've looked at the most recent starts forecast that we follow, it seems pretty flat or low single-digit growth year-over-year. And so that difference in outlook for housing has given us some degrees of freedom on timing for it. I will say it's been really nice to see Sagola operating at the level that it's operating at now, which has provided a good bit of near-term headroom on that. And so -- but I do feel like the -- I mean, I know that the reason we were able to take a breath on expediting a mill conversion is Houlton as we just looked at the housing forecast that folks are putting out there. And as we aligned with that, we felt like we had another year of time to make a conversion versus being very rushed. And rush caused us to go to Houlton because it would be the quickest, but it also rush would have significantly increased the capital expense, too. So I think we're in a good place to where we still got headroom that we need if housing was to get stronger than forecasted, which we certainly hope happens, but we feel really good about having options other than Houlton, which will be a little more capital efficient for us.
Mark Weintraub: Super. And maybe could you expand a little bit on that in terms of capital efficiency, recognizing you're still in the evaluation stage, but order of magnitude, how much capital might be required for a Maniwaki conversion? And also, does this mean that your cap spend in 2026 is actually going to be more reduced than maybe what some of us would have been thinking previously?
Alan J. Haughie: Great questions, Mark. None of which we're really in a position to answer with sufficient reliability or confidence yet. We'll deliver more on this topic on our full year earnings call in February. Great question. Sorry, we're just not in the position to answer.
Mark Weintraub: Understood. And then just last, if I could. So with the sheds business, obviously, it had been quite weak last year, much stronger this year. Can you give us any sense as to like where the sheds business, and I recon even you guys don't have perfect visibility on this, but your best estimate is where that business is now relative to kind of trend line? Or I mean, did we have some catch up this year so that there is downside risk to next year in a normal environment? Or is it more that it was just so bad last year, this really strong growth just got us back up to what you'd consider to be kind of a typical year?
Jason Ringblom: Yes, I'll take that one. So what I'd say there is a fair amount of pull-forward demand in shed during COVID. So our business was very strong in those years. And to some extent, we supported that segment to a higher degree than others while we were on a managed order file. That pullback that we felt in late '23, '24, I think, was a result of that. We've seen the shed business return back to normal levels. If not, maybe a hair better. A lot of the fabricators that we talk to are saying their business is up a couple of points relative to kind of a normal rate. So we feel good about that business, and it's been very consistent for us through the years and feel good about opportunities we have to improve our share position there as well.
Operator: Next question comes from the line of Kurt Yinger with D.A. Davidson.
Kurt Yinger: Congrats, Jason and Brad. I just wanted to go back to some of the comments, just around the fourth quarter Siding volumes. Can you just talk about, I mean, what you're hearing from your customers in terms of maybe a little bit of demand degradation? And then how perhaps managing inventory levels and the price increase factored in, if at all?
Jason Ringblom: Yes. Thanks, Kurt. What I guess I said this earlier, but I mean the process is very consistent with what we've done in prior years. We look at historical purchases, kind of where demand is trending and then come up with allocations for our distributor partners and then obviously work with them closely through that process. If they're communicating that they're going to short a customer on the other end by no means will we hold them to that allocation specifically. So it is pretty fluid in nature with the end goal being not to increase channel inventories as we go into the new year and work through a price increase. So far, I think that's been well received. And there are customers that are certainly asking for more. but that's something that we closely manage on a week-to-week basis.
Kurt Yinger: Okay. That's helpful. And then just looking forward to 2026 a little bit. I mean, what areas of the Siding portfolio do you maybe have the highest conviction or visibility to at this stage in terms of delivering kind of above-market growth and continuing the momentum? And separately from a marketing or channel standpoint, kind of what are you most focused on there in terms of strengthening your position with different channel partners and whatnot?
Jason Ringblom: Kurt, I'll take that one as well. What I would say is we've got very focused segment strategies for new construction, repair, remodel and then off-site, which includes shed and manufactured housing segment. And those are 3 segments that we will be relentlessly focused on improving our share position. And we're investing resources in all 3 pretty equally, maybe a little bit heavier in repair/remodel. But we feel like there's an opportunity to continue to take 0.5 point to 1 point of share of the addressable market on an annual basis as we think about the future.
Operator: The next question comes from the line of Adam Baumgarten with Vertical Research Partners.
Adam Baumgarten: Just on ExpertFinish, can you kind of update us on where margins are there especially with the managed order file currently?
Alan J. Haughie: Margins still have -- they're good, but they still have a long way to go under this kind of circumstances. So again, I'd still see both outsized. We've certainly had outsized price increases on ExpertFinish, and we're making progress on the cost side. So I think the future is bright for continued margin increase, but they're still lagging our -- fundamentally, our prime offering. So there's nothing but opportunity there.
Operator: Our last call comes from the line of Steven Ramsey with Thompson Research Group.
Kathryn Thompson: This is Kathryn Thompson on for Steven today. Answered many good questions, but I wanted to follow up just on a few on ExpertFinish and have been taking some share gains. Like I suppose for the quarter and as you think about the year, can you parse out the drivers between channel versus winning shelf space and end market demand? And then against the second part of this is against a pretty challenging R&R market. How sustainable do you feel these market share gains are on a go-forward basis?
Jason Ringblom: I'll take that one, Kathryn. So we're very pleased with the growth that we've seen an ExpertFinish after getting into the prefinished business, I think it was back in 2020. We are on a managed order file right now, but we have incremental capacity coming online at the end of Q1, early Q2 next year in the neighborhood of 50 million to 70 million feet. We believe that we've got a very strong value prop with our ExpertFinish line and we've only added to that with the naturals collection that was launched in April. And that repair remodel contractors really enjoy using that product. So we think the demand is sticky. Obviously, you need to get the contractor to get placement in the channel with our dealer partners. And that's really our focus going forward is getting downstream as much as possible to pull that demand through for our dealer partners.
William Southern: Kathryn, I'll just add to Jason's answer that the -- keep in mind that our market share in that segment is tiny relative to the opportunity. And as our product gets accepted, as Jason mentioned, as contractors get to use. And as you mentioned, as we secure shelf space with the one-step distribution network, there's just a ton of upside in our ability to continue to grow that ExpertFinish line. And have a higher -- a much higher market share of a large repair and remodel market.
Kathryn Thompson: And do you need to step up marketing expenses next year keep being that share gainer or are there other ways beyond to increase stickiness?
William Southern: Marketing is a big component. It's in-home selling to consumers primarily. And so as -- if you parse our sales and marketing budget, particularly the marketing budget, it is skewed toward support of the repair and remodel segment more than any other segment but a pretty large margin. But I think what you'll see next year in our budgeting will be consistent with our guidance to be consistent with the kind of spend we've had historically, especially if you like a percent of revenue or anything like that.
Kathryn Thompson: And since you brought up distribution, given the ongoing changes in the distribution landscape in the U.S., are you seeing any type of behavior changes for you as a supplier to the distribution market, given some of the fundamental changes in distribution?
Jason Ringblom: Yes. I would say right now, we're very pleased with the partners we have from a 2-step distribution perspective and that those relationships are on very solid footing, and we look forward to continuing to work with our partners. But no real significant disruption, no.
Operator: One additional question comes from the line of Mike Roxland with Truist Securities.
Michael Roxland: I'll just echo what everybody else has said, Brad, congrats on your upcoming retirement, well deserved. And Jason, congrats on the new role. A lot of my questions have been addressed, but I just wanted to ask if you could give us some more color around volume growth by end market in terms of single-family R&R and sheds in manufactured housing in 3Q? And how should we think about Siding volume growth as you look into 2026? I know it was asked recently, but just trying to get a sense of whether you think volumes will be flat to slightly up next year versus low single digits?
Jason Ringblom: So I'll touch on the first part of the question. Just looking at Q3 versus prior year by segment. As I mentioned earlier, even though shed volume came off slightly versus Q2, it was up over year-over-year, more than the other 2 segments. Repair/remodel was second strongest as evidenced by our performance in our ExpertFinish business or line. And then single-family, I think it was a mixed bag. We had decent volume in some of our core markets, but in the southern markets that are dominated a little bit more by the big builder and our stress by some affordability challenges and just consumer confidence in general, we have -- that was our weakest segment in the quarter.
Alan J. Haughie: I'm going to address the second question briefly. I think it's too early for us to make a sort of convincing call on 2026. As you know, we have pretty good visibility within a quarter. And when we get to February, what we see within the first quarter behavior will, of course, color our view of 2026 at which point we'll provide some full year guidance.
Michael Roxland: Understood. And then just one quick follow-up. If you see housing rebound more quickly next year than you're now expecting, what levers do you have available to meet that increased size in now that you're pushing out some of your capital projects?
William Southern: Plenty of capacity. We can add shifts in existing facilities. So yes, we will have no problem responding to almost any imaginable demand scenario over the next couple of years in either of our businesses or South America.
Operator: This does conclude the question-and-answer session. I would now like to turn the call back to Aaron for closing remarks.
Aaron Howald: Okay. Thank you, everybody, for joining the call. We'll look forward to continuing the conversation and follow-up calls later today and conferences throughout the quarter. Thank you very much.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.